Operator: Ladies and gentlemen thank you for standing by, and welcome to CS DISCO's Fourth Quarter and Fiscal Year 2024 Conference Call. At this time all participants are in a listen-only mode. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions]. I would like to now hand the conference over to your first speaker today, Head of Investor Relations Aleksey Lakchakov. Please go ahead.
Aleksey Lakchakov: Good afternoon and thank you for joining us on today's conference call to discuss the financial results for DISCO's fourth quarter and fiscal year 2024. With me on today's call are Eric Friedrichsen, DISCO's Chief Executive Officer, and Michael Lafair, DISCO's Chief Financial Officer. Today's call will include forward-looking statements within the meaning of the safe harbor provisions of the private securities litigation reform act of 1995 including, but not limited to, statements regarding our financial outlook and future performance, our future capital expenditures, market opportunity, market position, product and go-to-market strategies, and growth opportunities, and the benefits of our product offerings and developments in the legal technology industry. In addition to our prepared remarks, our earnings press release, SEC filings, and a replay of today's call can be found on our Investor Relations website at ir.csdisco.com. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results, performance, or achievements to be materially different from those expressed or implied by the forward-looking statements. Forward-looking statements represent our management's beliefs and assumptions only as of the date made, information on factors that could affect the company's financial results is included in its filings of the SEC from time-to-time, including the section titled Risk Factors in the company's quarterly report on Form 10-Q for the quarter ended September 30th, 2024, filed with the SEC on November 6th, 2024, and the company's upcoming annual report on Form 10-K for the year ended December 31st, 2024. In addition, during today's call we will discuss non-GAAP financial measures. These non-GAAP financial measures are in addition to, and not a substitute for or superior to, measures of financial performance prepared in accordance with GAAP. Reconciliations between GAAP and non-GAAP financial measures and a discussion of the limitations of using non-GAAP measures versus our closest GAAP equivalent is available in our earnings release. And with that, I'd like to turn the call over to Eric.
Eric Friedrichsen: Good afternoon, everyone. I am pleased to report a strong end of the year for DISCO as we continue to make progress in growing the reach of our platform and extending our relationships with top-tier law firms and corporations. Software revenue for fiscal year 2024 was $120.1 million, up 7% over the prior year. Services revenue, which include revenue from DISCO review and professional services, was $24.7 million in fiscal year 2024. Total revenue for fiscal year 2024 was $144.8 million, up 5% over the previous year. Adjusted EBITDA for fiscal year 2024 was negative $18.7 million, an improvement of $7.2 million from the prior year. And we ended the year with $129.1 million of cash and short-term investments on our balance sheet. We ended 2024 with 315 customers who each contributed more than $100,000 in total revenue, which was up 9% year-over-year. Revenue from customers that contributed more than $100,000 in total revenue grew at more than double the rate of those customers contributing less than $100,000 in revenue. We finished the year with 19 customers contributing more than $1 million in revenue, while our multi-product attach rate was 17% at year-end, including Cecilia. Our total revenue, dollar-based net retention, or DNR, improved year-over-year from 92% to 96%, and our software DNR improved year-over-year from 97% to 100%. Over the past few quarters, we've seen an increase in the usage by our more than $100,000 customers. We believe that the actions that we are taking to transform and enhance our go-to-market approach, which I discussed at our last earnings call, are just starting to bear fruit. We are very excited about 2025 and focused on continuing to demonstrate further go-to-market improvement and success. During our last earnings call, I discussed three areas of focus for DISCO. Number one, becoming a more customer-focused organization. Number two, enhancing our internal operations, and number three, fostering a continued cultural improvement. I'd like to discuss some of the great strides our team has made in those three areas. Over the past quarter, we have further refined our approach to becoming a more customer-focused organization. I have met with over 70 customers since joining DISCO three quarters ago, and I continue to hear that customers love our products, they love our people, and that they want to do more with DISCO. Capturing the opportunity ahead of us starts with marketing the value that we provide to our customers, we believe that no one else offers our unique combination of software and services expertise. We build and deliver innovative, proven, and intuitive technology that is backed by our very own experts in the most critical areas of ediscovery. To achieve our goals, our customers must know that we are with them in every case, including large, complex cases with tight deadlines. Our customers must feel confident that we are available to meet their needs on their deadlines with exceptional quality and reliability. Building this trust is an essential part of establishing DISCO as the go-to solution for our customers' large matters. We're doing that in two ways. First, we're continuing to add innovative, technological capabilities that help with complex issues. Second, we're educating the market on the breadth and expertise of our services teams who provide the support that our customers want for those large matters. We have successfully helped our customers with hundreds of complex, multiple terabyte matters, and we need to make sure the market knows them. So, how do we get there? How do we drive towards this customer-centric standard in 2025? Well, it's in the work that we have been refining over the past several months, which primarily centers around our go-to-market strategy. In sales, Lauren Caruso, who returned to DISCO in October as our Chief Sales Officer, has been thoughtfully aligning the sales organization towards our customer-centric approach. Her efforts have been focused in three key areas. First, it's talent. We feel confident in the talent that we have in place today. Over the past quarter, we've made several important changes to our organizational structure, including right-sizing management layers and reallocating funds to hire more enterprise sellers. We believe that we are adequately staffed from a sales perspective, and we will continue to recruit top talent. Second is focus. We have significantly increased our focus on customer-centric and customer-centric needs. We have significantly increased our focus on customers and prospects with significant annual ediscovery spend in practice areas where we believe we can add the most value. Over the past few months, we assessed our customer base, determined their ideal customer profile, estimated the potential wallet size of each customer, and aligned and staffed our sales teams to focus on customers with the highest potential value to DISCO. While we will continue to support the broader base of our business, the majority of our attention is now on attracting and expanding these target accounts. Third is incentives. Our goal is to incentivize sales reps to drive new usage and expansion. To achieve this, we've realigned our sales incentive structures and performance metrics to prioritize growth over account management. To free up their bandwidth, we've transitioned many account management responsibilities to the customer success team, allowing our sales reps to focus on winning more business. This shift enables our sales team to concentrate on driving growth while customer success focuses on satisfaction, retention, and expansion. We believe that this realignment enhances our ability to provide exceptional support throughout the customer journey. By focusing on enhanced talent, target accounts, and aligned incentives, we believe we will see a meaningful improvement in how we win and grow our customers. Similarly, we have pivoted our marketing and lead generation strategy to focus on our target accounts. We are concentrating our energy, resources, and budget on making a great first impression with the right prospects. This means that every touch point from marketing to sales, to customer success in professional services, we aim to deliver a seamless and positive customer experience. And if something goes wrong, we will work to remedy it right away. We believe that the progress we have made over the past quarter lays a strong foundation for 2025 and 2026. By aligning our sales, marketing, and customer success efforts around a more targeted strategy, we believe we can maximize every interaction, deepen customer trust, and deliver exceptional value. Our goal remains clear to become an indispensable partner for our customers in every matter, every time. And with the groundwork we have laid, I am confident we are on the path to achieving it. We know this strategy works because when analyzing our largest customers, we see clear success patterns. For example, one of our "Am Law 200" customers that spent more than one million dollars with us in software in 2024 increased their year-over-year software spent by over 40%. This expansion was driven by our focus on a deep understanding of the customer's goals and challenges. We worked with our client's centralized team to align organizational goals and deepen product knowledge. We did this while demonstrating the full breadth of DISCO platform capabilities. This tailored hands-on approach built trust through our partnership and gave this customer confidence to bring more and larger matters to DISCO. Another example of this approach in action is from a $40 billion data and analytics company that grew their annual software spend with us by over 150% in 2024. This company began as a relatively new customer in 2022, continued to grow in 2023, and significantly expanded in 2024. Initially, they primarily operated as a self-service customer, leveraging the simplicity of DISCO for a small number of matters. However, as our sales and customer teams engaged with them, introduced the breadth of our offerings and demonstrated our capabilities as a true partner, their usage more than doubled. They expanded their adoption to include Cecilia Q&A and DISCO Review. We earned their trust by supporting them in large, complex matters that provided significant leverage for their legal teams through our professional services organization. This example highlights a successful customer outcome stemming from the seamless integration of software and services, delivering exceptional results and reinforcing DISCO's role as an indispensable partner in every case. A number of our top customers have already shown a willingness to adopt and expand their use of our platform, proving that this strategy is both repeatable and scalable. Notable law firms such as Orrick, Herrington & Sutcliffe LLP and Manatt, Phelps & Phillips LLP have deepened their engagement with DISCO through 2024, reinforcing the opportunity ahead is significant and obtainable. Our priorities in product and engineering are just as critical to our long-term success as is our go-to-market strategy. Our customer-centric approach extends to product development, ensuring that we build the capabilities and features that our target customers want to expand their use of DISCO. We are strategically prioritizing our engineering efforts across both front-end and back-end development to deliver meaningful enhancements, including ongoing refinements or improvements to our Cecilia generative AI offerings. In 2025, our priority is to introduce capabilities to make it even faster for customers to drive broad adoption within their organizations. We are laser-focused on the feedback from our target customers, their pain points, areas for improvement, and the capabilities that they desire. Our goal is to ensure that our products are more powerful, efficient, and accurate than anything else on the market. Our investments in our core platform are a highly targeted and prioritized continuation of the work that we began in 2024. The capabilities we launched last year, particularly those designed for large matters such as mass redactions and data typing for custom fields, have been well received. In Q4, we introduced new capabilities that will make it significantly more efficient for our users to manage production workflows on their fastest-moving, most complex matters, both in the U.S. and internationally. In Q4, we introduced several new capabilities to our core product, including advanced reproductions, enabling users to rerun a production with updated settings, redactions, and document contents, ensuring consistency across past and current work. This feature is especially valuable for large matters with extensive document volumes, saving lawyers significant hours. Additionally, we released document-level Bates numbering, a new option in the production tool that applies to a single Bates stamp per document with individual page suffixing. This enhancement expands support for international document labeling standards. While this may not be the most exciting-sounding feature at first glance, it is important for lawyers to spend 80-hour weeks in driving case teams and legal outcomes, where workflow improvements make a meaningful impact. We believe our Cecilia Q&A capabilities have been instrumental in locating key documents faster. We are pleased with the increased number of customers adopting Cecilia Q&A. Customers are finding it invaluable in the largest matters, where needles in the haystack are the hardest to find using the traditional methods of search and review. Orrick, Herrington & Sutcliffe LLP, is at the forefront of leveraging Cecilia Q&A to enhance its litigation practice. As outside counsel in complex matters, the firm has used Cecilia to accelerate document review, quickly surface key evidence, and streamline discovery. In one case, Orrick estimates that it reduced the time spent on document review by over 50%, allowing attorneys to focus on higher value legal work. By using Cecilia's Q&A function, the team could ask questions in natural language and receive narrative answers almost instantly with citations to the relevant documents. This enabled Orrick to quickly assess the relevance of requests, demonstrating how AI is transferring legal workflows with faster insights and more strategic decision-making. With our shift of focusing our resources on winning within our ideal customer profile, we believe that we will add more large matters to our platform. These large matters help accelerate revenue growth, have longer lifespans, and require a deeper partnership with our customers to execute. The work we have been doing on the go-to-market and product side has been yielding positive results, and we are seeing growth of large matters on our platform. Our focus on enhancing internal operations has made DISCO a faster, more agile organization. The internal prioritization framework that we implemented, the organizational adjustments we made, and the leaders that we have brought in have all contributed to more efficient decision-making and execution. These improvements have significantly strengthened our customer and product prioritization efforts, as well as our overall go-to-market progress, allowing us to move with greater speed and precision. We are seeing the impact of these changes and we are pleased with the results. Culturally, DISCO is a very different company than it was a year ago. Employee survey results show a marked improvement in positive sentiment and attrition has declined. The combination of leadership changes, a clear strategic vision, a new employee value proposition, and a more collaborative internal dynamic has created a stronger, more unified DISCO. I want to take a moment to thank the DISCO leaders and all employees who have leaned in with us to make this happen. While there's always room to improve, I'm excited about where we are today and the foundation that we've built for the future. As we look ahead, we are committed to executing our go-to-market strategy with discipline, refining our internal operations, leading in product innovation, and driving growth. The progress we've made over the past year has positioned us well and we are confident in our ability to build on this momentum. Our focus remains on delivering real value to our customers, expanding our market presence, accelerating revenue growth, and driving the business to sustainable profitability. If we execute our planned strategy in the way we think we can, then we believe we can reach breakeven-adjusted EBITDA in Q4 2026. My belief in the future of DISCO is greater than ever. I am consistently delighted to hear feedback from our customers about how they value our products and our people and how they want to do more with us. We have a solid foundation, a strong strategy, and the right team to execute moving forward. I am excited for 2025 and beyond. With that, I'll turn it over to Michael.
Michael Lafair: Thank you, Eric. In Q4 2024, total revenue was $37.0 million, up 4% year-over-year. Software revenue was $30.8 million, up 5% year-over-year. Services revenue was $6.2 million, down 4% year-over-year, predominantly driven by review usage. Full-year 2024 revenue was $144.8 million, up 5% year-over-year. Software revenue was $120.1 million, up 7% from prior year. Services revenue was $24.7 million, down 4% year-over-year, due to a year-over-year decline in review revenue. In discussing the remainder of the income statement, please note that unless otherwise specified, our references to gross margin, operating expenses, and net loss are on a non-GAAP basis. Adjusted EBITDA is also a non-GAAP financial measure. Our gross margin in Q4 was 75%, and gross margin for fiscal year 2024 was 75%, in line with fiscal year 2023. As we mentioned before, our gross margins fluctuate from period to period based on the nature of our customers' usage, for example, the amount and types of data ingested and managed on our platform. Sales and marketing expense for Q4 was $13.9 million, or 37% of revenue, compared to 36% of revenue in Q4 of the prior year. For fiscal year 2024, sales and marketing expense was $56.7 million, or 39% of revenue, compared to 45% of revenue for fiscal year 2023, a decrease of over $5.4 million year-on-year. The decrease was primarily driven by a decrease in personnel costs and a reduction in marketing spend. Research and development expense for Q4 was $11.9 million, or 32% of revenue, compared to 24% of revenue in Q4 of the prior year. For fiscal year 2024, research and development expenses were $43.8 million, or 30% of revenue, compared to 31% of revenue in fiscal year 2023, an increase of over $1.5 million year-on-year. This increase was primarily driven by an increase in research and development headcount. General and administrative expense in Q4 was $7.3 million, or 20% of revenue, compared to 22% of revenue in Q4 of the prior year. For fiscal year 2024, general and administrative expenses were $31.8 million, or 22% of revenue, consistent with general and administrative expenses as a percent of revenue in fiscal year 2023. General and administrative expenses increased $1.6 million year-on-year. This increase was primarily driven by professional service fees and additional senior-level talent we added to DISCO. Adjusted EBITDA was negative $4.3 million in Q4, representing an adjusted EBITDA margin of negative 12%, compared to an adjusted EBITDA margin of negative 3% in Q4 of the prior year. Adjusted EBITDA in fiscal year 2024 was negative $18.7 million, a margin of negative 13%, compared to a margin of negative 19% in 2023. Net loss in Q4 was $4.3 million, or negative 12% of revenue, compared to net loss of $0.3 million, or negative 1% of revenue in Q4 of the prior year. Net loss in fiscal year 2024 was $17.2 million, or negative 12% of revenue, compared to net loss of $22.8 million, or negative 17% of revenue in 2023. Net loss per share for fiscal year 2024 was $0.29 per share, compared to $0.38 per share for fiscal year 2023. Turning the balance sheet in cash flow statement, we ended Q4 with $129.1 million in cash, cash equivalents, and short-term investments, and no debt. Operating cash flow in fiscal year 2024 was negative $8.7 million, compared to negative $25.5 million in fiscal year 2023, driven primarily by improvements in working capital and strong collections. One other thing I wanted to touch on. In Q4, we recorded a full non-cash impairment charge of $15.2 million on our primary law asset and related capitalized development. This impairment charge does not impact adjusted EBITDA. We are focusing our efforts on core ediscovery and Cecilia AI capabilities. Now turning to the outlook. For Q1 2025, we are providing total revenue guidance in the range of $35 million to $37 million, and software revenue guidance in the range of $30.1 million and $31.1 million. We expect adjusted EBITDA to be in the range of negative $8.0 million to negative $6.0 million. For fiscal year 2025, we anticipate total revenue guidance in the range of $145.5 million, $257.5 million, and software revenue guidance in the range of $124 million, $231 million. We expect adjusted EBITDA to be in the range of negative $19 million to negative $15 million. Now I'd like to turn the call over to the operator to open up the line for Q&A. Operator?
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions]. Your first question comes from a line of Koji Ikeda from Bank of America. Your line is open.
Koji Ikeda: Hey, guys. Thanks so much for taking the questions. I wanted to ask about maybe the selling environment in legal tech and specifically on AI tools. Is it potentially getting harder selling AI legal tools today versus maybe a few years ago? And the fact that it seems like there's a lot of tools out there now. And when we see that within software categories, it tends to cause a lot of confusion with buyers. And so maybe help us understand what is the selling environment like and what is the key feature or value prop today that is driving new customer adoption?
Eric Friedrichsen: Eric, Koji, thank you very much for the question. I really appreciate it. I would say that the selling opportunity within the legal industry actually has gotten a little bit easier more recently than it has in the past in terms of their interest or willingness to look at various AI tools. I think you know that DISCO has had AI built into our platform since almost the inception of the company several years ago. But the generative AI solutions obviously are much newer within the last 18 months. We've seen pretty incredible adoption over the last year of our Cecilia products. And keep in mind that our Cecilia products are very specific to the use cases that we are trying to solve for. So if you think about Cecilia Q&A, it's all about asking questions of the facts in the database to help our customers do early case assessments for their clients, to help them very, very quickly get to the facts of the case that are the most important. And we had a customer that I heard about actually just today, who leveraged Cecilia Q&A to help analyze the facts of the database to determine the best questions that might come up during a trial and help prepare the people in the trial to be able to answer questions from the opposing counsel and really nailed it. So our Cecilia products are offering very, very specific solutions as opposed to general solutions. And they leveraged Gen AI to do that. The other one is Cecilia auto review, obviously, that does the first pass review of the database. And again, it's very much tailored to that exact process. We've designed it such that the results can be very defensible. We look at the precision rates, the recall rates, every document that gets tagged, we explain why it got tagged. And all of this provides a very, very specific solution for our customers problem.
Koji Ikeda: Got it. No, thank you so much. That's very, very helpful. And a follow-up here. I think I heard on the call, if I heard this correctly, there's a target out there setting a target for breakeven adjusted EBITDA by the fourth quarter for '26. I mean, is this a hard target? And what I mean by that is regardless of where growth ends up, is the business willing to do what needs to be done to achieve that breakeven EBITDA target in 4Q '26. And once that is achieved, is it safe to assume that adjusted EBITDA should be positive from there on out on an annual basis? Thank you.
Michael Lafair: Koji, good question. So we're really confident in our strategy and our kind of reshift on focusing on large customers and the guidance range we provided in 2025. We obviously haven't provided revenue guidance for 2026. Our goal, and we've been talking about this consistently, is working towards sustainable profitability and growth long term. We've reallocated our investments in areas that we believe will make the biggest impact to drive revenue growth, especially around our targeted customers. By focusing on larger customers, it's going to enable us to grow more efficiently. And our current cost structure with really modest increases, we believe, will support the business as we drive revenue growth. Look, there's many ways to get to positive adjusted EBITDA. And while there are many ways to get there, I'm confident in our strategy to grow revenue and to achieve sustainable profitability and to hit that target at the end of next year in Q4.
Koji Ikeda: Thanks, guys. Thank you so much.
Eric Friedrichsen: You bet.
Operator: Your next question comes from the line of Brent Thill from Jefferies. Your line is open.
Unidentified Analyst: Hi, this is [indiscernible] on for Brent Thill. Thank you for taking the question. The improvement in overall dollar net retention, do you see that number going above 100 again? And if so, can you talk about the vectors that are out there, so volume versus multi-product adoption?
Michael Lafair: Yes, sure. Look, in terms of our improvement in DNR, I'm very pleased. I think we probably included mostly salient points within the prepared notes, but our software retention got back to 100% from 97%. Our total revenue retention went from 92% to 96%. And that software, that improvement was really driven by our larger customers, by those that spend more than $100,000 with DISCO. So I'm confident that with our go-to-market approach, we have the opportunity to continue to improve DNR over time.
Unidentified Analyst: Got it. That's super helpful. And then, can you all just talk about the level of conservatism that you're embedding into the guide for 2025?
Eric Friedrichsen: I'll take that. Let me just discuss guidance. So the guidance that we're providing for the full year and also for Q1, it's the best estimate of where we think things are going to land in the quarter and for the full year. I'm really confident in our overall strategy. We do believe that it may take a bit of time to see some of the results from the actions we're taking as we focus on larger customers. You didn't ask about Q1 guide, but I'll just mention part of the Q1 guide includes volatility in the review component of services, but I am confident in our overall strategy and our guide for the full year.
Unidentified Analyst: Great. Thank you.
Operator: [Operator Instructions]. Your next question comes from the line of Mark Schappel from Loop Capital Markets. Your line's open.
Mark Schappel: Hi, thank you for taking my question. Eric, I jumped on the call a bit late here, so I apologize if you've already addressed my question in your prepared remarks, but I was wondering if you'd just spell out your investment priorities for the coming year?
Eric Friedrichsen: Yes. Hi, Mark, nice to hear from you. Very clearly, we are invested in growth. We have determined exactly who we think our ideal customer profile is, the exact types of matters that we believe. We are the most successful with, that we can help our clients the most with, and to create the most opportunity to accelerate revenue for DISCO. So that's really where we're putting our investment. In terms of go-to-market, we've got, from a sales perspective, we shifted significant investment over the last quarter from account executives and sales development representatives over to enterprise sales reps. So we've beefed up our enterprise sales staff. We have restructured and enhanced our sales leadership. From a marketing perspective, we have pivoted to more of an account-based marketing strategy that's very much focused on targeting our top accounts, those that we think have the most opportunity and that can grow. And then from a customer success standpoint, we've really started to rebuild our whole customer success function. One of the things that I included in my prepared remarks was a discussion about how we've changed the roles for our sales and customer success teams. Our salespeople have traditionally been more of account managers to really kind of manage the book of business. And what we have done now is we've restructured their roles so that salespeople are very much focused on going to go get the next matters and going to sell the next products and really expand the relationship with our customers, while our customer success team is responsible for customer satisfaction, responsible for adoption of our products, responsible for renewals and retention of those particular customers. And therefore, we've also reset our compensation strategy and comp plan for our salespeople to really, really incentivize them to help grow accounts. From a product standpoint, we're doubling down on our core ediscovery products and our Cecilia generative AI products. That's where we're putting the vast majority of our investment when it comes to product.
Mark Schappel: That's helpful. Thank you.
Eric Friedrichsen: Thanks Mark.
Operator: Your next question comes from a line up, Brian Essex from JP Morgan. Your line is open.
Brian Essex: Hi. Good afternoon. Thank you for taking the question. Hi. Great to see the large customer growth on the platform. And I guess if I could maybe just pivot back to the question that was just asked and some of the color you provided on go-to-market changes, particularly among the sales force. Can you help me understand how much account addition or change was there associated with those changes? And as these sales reps kind of assume new functions in a more, I guess, sales-focused role, how mature would you say they are? I'm trying to get to a level of maturity, particularly with regard to executing on the platform and when you think they might reach full maturity and when we might see better productivity in the numbers? And then I have a quick follow-up.
Eric Friedrichsen: Okay, sure. Well, I think the first thing I would just say is that I'm already very pleased at the early results that we've gotten in our penetration for larger customers. Our number of customers who spent more than $100,000 with DISCO last year went up by 9%. The amount of revenue generated from that same group of customers that spend more than 100,000 of us grew at more than double, significantly more than double the rate. In fact, the vast majority of the growth that we had last year came from that segment. So that is, we're already starting to see some progress with our focus on those largest customers. In terms of the team, we've already hired a number of new enterprise sellers. We still have some rolls open that we're hiring for, but I feel like we are adequately staffed at this point. The biggest change that we needed to have really was to free up time from our salespeople to stop doing account management and to put all of their focus and effort into selling. So that was the main shift. So a lot of that was done by shifting workload to customer success reps. Some of it has also been done by the operational improvements that we've put into the business.
Brian Essex: Got it. Is there like, I don't know if you had to gauge it, an average level of maturity you would assign Salesforce and then how long it would take to get them to full maturity productivity?
Eric Friedrichsen: I don't have a specific metric to share around that.
Brian Essex: Okay, that's fine. And then maybe just to follow up on the guidance commentary, it seems like a bit of a wider range of guidance, particularly on the top line that you've offered this year. I guess how would you bring your approach to guidance? I know you said you were confident in your ability to execute to that level, but what would be the primary governors of achieving the upper end of that guidance range?
Michael Lafair: So it's a fair question. I don't believe the range this year is really any different than the range that we provided last year at this time for '24. In terms of the confidence, what we talked about a little bit is, and what I previously mentioned, is there's a shift in strategy. And as a result of that shift in strategy with the focus on larger customers, we do believe that that's going to lead to and drive us to revenue reacceleration at a faster rate than the old approach that we used to have. That could take a little bit of time. We're not exactly sure when that's going to move in completely in the direction, but we are really confident that the strategy is going to work. We already have seen signs of it working, and I believe there's a lot of upside from our focus on large customers. As you can see just from the metrics, the large customer count grew 9% year-over-year, and the contribution of our growth from the larger cohort has been very significant as opposed to the tail. So it's really a shift. I believe there's a lot of upside.
Brian Essex: Got it. That's super helpful. Thank you so much. And my area does look like the same range, so I apologize for that. But thanks for the color. Appreciate it.
Operator: Your next question comes from a line of Ian Black from Needham & Company. Your line is open.
Eric Friedrichsen: Hi, Ian.
Ian Black: Hi. Yes, you guys called out a 17% multi-product attach rate. Are you seeing significantly different attach rates amongst your enterprise customers than your kind of store customer base?
Michael Lafair: I mean, the attach rate went up, I believe, from 15% from what we previously disclosed to 17%. That includes our Cecilia product, and we're happy with the growth in the attach rate, but I don't actually know the number offhand, and we don't disclose kind of the mix between enterprise versus non-enterprise. I would say there has been a ton of interest from all of our customers in Cecilia Q&A, both the enterprise large law firms and also smaller firms, and it does attract a ton of interest, and we're really pleased with the number of customers and the growth that we saw, particularly in Q4.
Eric Friedrichsen: Yes, just to add on to that regarding Cecilia and specifically Cecilia Q&A, what I consistently hear, I've been with over 70 customers in the last nine months since I started, and what I consistently hear from them is where they see the most value to Cecilia Q&A is on our largest matters, and typically it's our largest customers that end up bringing the largest matters into DISCO.
Ian Black: When customers adopt Cecilia Q&A, do you see them adopted one matter at a time, trying to figure it out, you know, test it out first, or do you see kind of full adoption across their matters?
Eric Friedrichsen: Yes, typically they'll start with one matter, and then from there they will grow to additional matters when they have success.
Ian Black: Thank you for taking my questions.
Eric Friedrichsen: You bet.
Operator: And that concludes our question and answer session. I will now turn the call back over to CEO Eric Friedrichsen for closing remarks.
Eric Friedrichsen: Thank you, everyone, and good evening. I really appreciate all of you joining us today. I am extremely excited about what we have going on right now at DISCO. We are making very good progress. We are advancing our products. We're strengthening our team. We're delivering results that we really believe set us up for long-term success. I'm encouraged by the early signs that we're seeing in our strategy. It's starting to take hold, and I've got confidence in our plan to execute. Our focus remains on driving innovation, improving execution, and making the most of the opportunities ahead. We're excited about what we've accomplished, and we're even more excited about what's next. I look forward to sharing our progress in the coming quarters. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.